Operator: Good morning. My name is Ashley and I’ll be your conference operator today. At this time, I would like to welcome everyone to the Yum! Brands third quarter 2012 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session (Operator Instructions) Thank you. Mr. Tim Jerzyk, Senior Vice President of Investor Relations, you may begin your conference.
Tim Jerzyk: Thank you, Ashley. Good morning everyone and thanks for joining us today. This call is being recorded and will be available for playback. We are broadcasting the conference call via our website, www.yum.com. Please be advised that if you ask a question, it will be included in both our live conference and in any future use of the recording. I would also like to remind you that this conference call includes forward-looking statements. Forward-looking statements are subject to future events and uncertainties that could cause our actual results to differ materially from these statements. All forward-looking statements should be considered in conjunction with the cautionary statement in our earnings released last night and the risk factors included in our filings with the SEC. In addition, please refer to the Investors section of the Yum! Brands’ website to find disclosures and reconciliations of non-GAAP financial measures that may be used on today's call. Also we would like you to please be aware of a couple of Yum! investor events; Thursday, December 06, we will host our Annual Investor Update Meeting in New York City and then Monday, February 04, 2013, our fourth quarter earnings will be released. Now I’ll turn the call over to David Novak.
David Novak: Thank you very much Tim and good morning everyone. Before I talk about our third quarter performance, I think it’s important to note this past Sunday, October 7th marked our 15th anniversary as a company. From the very beginning, our formula for success has been people capability first, satisfied customers and profitability follow; I am proud of how we went to get our ownership culture we’ve developed and pleased with the strong returns we’ve generated for our shareholders. As we look back over the past 15 years, we take satisfaction by what we’ve been able to accomplish, but as you’ll hear more about today, we’re even more excited about the unfinished business that lies ahead. When we started our company, we benchmarked high performing companies and all were known for their consistent double-digit annual EPS growth. As a result, we built our company around the objective of delivering dynasty like performance of at least 10% annual EPS growth. We just raised our guidance and we expect that 2012 will mark the 11th consecutive year we deliver at least 13% EPS growth before special items. As you know, there are three keys to driving shareholder value in retail; new unit development, same-store sales growth and high returns. Our new unit opportunity in China is the best in retail and our opportunity to expand is now bigger than ever throughout the emerging markets. As I said before, Yum! Brands is about China and so much more. As evidenced about 60% of our profit is generated in emerging markets which is where the real economic growth in the world is occurring today. This growth, combined with the facts that we have powerful global brands and only two restaurants per million people in emerging markets compared with 58 restaurants per million people in the U.S. gives us tremendous confidence in our ability to continue our aggressive expansion. Further, I would not trade our opportunity to grow same-store sales with anyone. We have 38,000 restaurants with underutilized assets. We are laying the foundation for more substantial same-store sales growth by developing breakfast, beverages and broad and improved asset utilization overtime. Meanwhile, our returns continue to be among the best in the restaurant industry with return on invested capital over 22%. These facts give us confidence that our business model deliver strong results in even the most challenging economic times; unlike most companies, we don't have to look for growth, it’s staring us right in the face everyday and we expect this opportunity will allow us to build on our track record of at least 10% earnings per share growth in 2013 and well into the future. Now on to our results; I am pleased to report each of our divisions produced strong sales and profit results driving 19% EPS growth prior to special items. Given the strength of our year-to-date results, as I just mentioned, we are raising our full year EPS growth forecast to at least 13% excluding special items. We expect to open a record 1,750 plus new international units this year, including over 750 new units in China. That’s two new restaurants per day in China and nearly five new restaurants per day around the world. Equally important, we have same-store sales growth across our divisions. This combination of record new unit development and strong same-store sales growths has delivered high quality earnings this year and gives us even more confidence in delivering a strong 2013 as well. Now let me take you through our key strategies in China and India and then Rick will take you through our strategies at Yum! Restaurants International in the United States; Pat Grismer will then review our financial progress. I am obviously very proud of our China team’s continued strong performance. For the third quarter, operating profit grew 22% prior to foreign currency translations. Units expanded 18% and system sales grew 22%. And importantly, and as we predicted, restaurant level margins improved dramatically compared to our second quarter. Same-store sales grew at a healthy rate of 6% with transactions down 1%. Keep in mind this is overlapping 19% same-stores sales growth with transaction growth of 27% during the third quarter of last year. When you do the math, our two year same-store sales growth is an impressive 26% with two year same-stores transaction growth of 26% as well. What makes this even more impressive is that we’re driving record new unit development at the same time. We’re excited that the China team is going to open over 750 new restaurants this year. Our new unit returns in China remained the best in our business. We know we are building shareholder value with cash paybacks less than three years. However you should know that my number one challenge to the team is to never build faster than our people capabilities. Fortunately, as our scale grows in China, our people capability continues to get even stronger. We hired 10,000 new management trainees over the past year through our Whampoa Academy, and currently have 2,000 assistant managers in our system today who are ready to become restaurant general managers and continue to build on a reputation for operational excellence. Our focus on people capability first is alive and well in China. Now let me share with you a few highlights from each of our leading brands in China. Let’s start with KFC, the largest western QSR concept in China. Our first KFC restaurant opened in China in 1987. So we’ve been in China for 25 years now. I am proud to say that we recently opened our 4,000 KFC restaurants. It took 17 years to open our first 1,000 restaurants but only two years to open our most recent 1000. We continue to expand our unit advantage over our nearest competitor and we're growing in both large and smaller cities throughout the country. We're acquiring the premier sites in the most vibrant trade zones and we're using our assets throughout the day with breakfast, delivery and 24 hour operations. Our new fast food business model balances great tasting food with high quality service and speed. We offer a balanced menu across multiple proteins and day parts and promote healthy lifestyles as well as focus on being rooted in China with continuous innovation. We constantly monitor key consumer metrics and continue to win with Chinese consumers. Now all of this success is underpinned by world-class operations and outstanding people capabilities. Having said this, the most exciting new news in the past couple of years has been the tremendous growth and vibrancy of the Pizza brand. Pizza Casual Dining goes beyond Pizza and continues to unquestionably be the leading western casual dining concept in China with over 700 units in 120 cities. The Pizza menu is revamped twice a year and continues to offer a broad variety of entrees including beef, chicken and rice dishes along with appetizers, beverages and deserts. We're having tremendous success building a true western casual dining concept with everyday affordable value. In fact, our new unit returns are at least equal to the fantastic returns for KFC and we expect to open over 150 Pizza Casual Dining restaurants this year. We are especially pleased to be opening Pizza Huts not only in the largest cities but in Tier three, four and five cities as well where there is nearly one billion people. We also continue to invest behind the development of our emerging brands. Pizza Hut Home Service and the Home Delivery category now has a 140 units in 14 cities. East Dawning, our Chinese fast food brand now has 28 restaurants. We continue to make progress as we drive for scalable economics with both of these concepts. As you know, we acquired Little Sheep China’s leading hot pot concept in February of this year. We acquired Little Sheep to strengthen net operating model and increase its market leadership position. We know this is a powerful brand and we have the expertise to make it even stronger. We have completed management integration in the Yum!’s China team and have new initiatives moving through the pipeline. We didn’t buy this business for it’s 400 plus units, we bought this brand for its potential for 1000’s of restaurant. Let me assure you our long-term belief in this brand continues to be very high. In summary, our China business is having another strong year. But as I said before, China is going to have its inevitable ups and downs. And like I said last quarter, we now face a slowing economy. But that doesn’t change our long-term outlook in China one iota. Our annual performance has been pretty consistent and I expect this to continue. The progress we’re making in executing our China strategy to build leading brands in every significant restaurant category is exceptional. And we’re confident in our ability to deliver strong growth in 2013 and beyond. Now let’s talk about our India division where our brands are all about the youth and providing an aspirational experience. We have 495 restaurants in our India division and expect to open 100 new restaurants this year. Our KFC business model is getting stronger, working both large and smaller cities. The team has gone to (inaudible) on what makes KFC so successful in China and we are applying these strategies to India. Based on the unit economics we are seeing, we believe there is a compelling reason to put even more capital to work at KFC in China and India excuse me. We are laying the foundation for this business to have leading brands in every significant category in India including KFC, Pizza Casual Dining, Pizza Hut Home Service, and Taco Bell. We expect this business to have a substantial impact on Yum!'s profit growth in the future. Now let me hand it over to Rick, who is going to give you an update on Yum! Restaurants International and our US business.
Rick Carucci: Thank you, David. Let me start this morning with Yum! Restaurant International which is perhaps the most under appreciated piece of Yum! YRI has a great business portfolio. There are tremendous development opportunities in emerging and underdeveloped markets and over 85% of YRI’s 14,000 restaurants or franchise. This combination creates a steady stream of franchise royalties and strong growth. For the quarter, YRI delivered system sales growth of 4% and operating profit growth of 14% prior to foreign currency translation. Same store sales increased 2% led by a 5% increase in emerging markets. These YRI same-store sales were negatively impacted by about one point due to calendar shift of Ramadan into the third quarter of 2012. With the results we have seen so far this year, we are well on our way to build 900 new units in 2012. While Yum! Restaurant International has tremendous growth opportunities in many parts of the world. I am going to spend some time today talking about the roles of four markets, France, Germany and Russia as well as the African continent. First let me put France, Germany and Russia into perspective. In these three countries combined, McDonalds has about 2,900 units and makes well over a $1 billion in profits. Last year in these countries YRI had 383 restaurants that made less than $30 million in profits. So we know we have a tremendous runway for growth. In France, we have 143 restaurants, we are on the air with national television advertising and we have the highest KFC average unit volumes in the world. We are using a business rental program which we patterned after the successful model used in France by McDonalds. This approach combined with the strong KFC consumer proposition is driving disciplined unit growth. We are making significant progress building a profitable business in France and we are using a similar approach in Germany. I recently visited Germany where we now have 81 KFC’s. I saw that KFC is leveraging especially prepared chicken to differentiate itself on food quality. The German team and franchisees are really excited because we have the scale necessary now to begin national advertising in 2013. David, Pat and I were also able to see our Russia business in person in August. We all came away amazed at the breakthrough progress [Olympus], Rob and his team are making. Two years ago, our restaurants in Russia were all franchise. They were only sub-brands of these KFC’s. They had average unit volumes of about $1.2 million. Well, in the past two years, Russia has had the highest KFC same-store sales growth in the world. So as we sit here today, we now have a 180 KFC’s averaging $1.8 million. The team has improved operations in brand marketing and has converted almost 100% of the system to standalone KFC’s. We attended Restaurant General Manager Conference in Moscow where we met many talented and committed RGMs. McDonalds has a tremendous business in Russia, so we know we have a long way to go. However, after seeing how our KFC brand is evolving and the quality of our team, we left with even more confidence about our growth prospects in Russia and our ability to build a very strong business there. The last YRI market I would like to highlight is Africa, and as you think about Africa in several pieces. We have a very robust business in South Africa with 650 KFC’s we’re clearly the market leader. We have also been expecting to be in 17 African countries outside of South Africa by the end of 2012 including Nigeria, Kenya and Ghana. Our primary objective is to build people capability, infrastructure and scaling these countries. We do not expect them to add significantly to our profit results in the next several years. However, we are very pleased that we have started the journey in this part of Africa. With over 1 billion people, Africa can be a very significant business for Yum! and we are proud to be the restaurant leader on this continent. We generated about $50 million of profit from South Africa last year. So if you include France, Germany and Russia and South Africa, we made less than a $100 million in these markets combined. However, these four markets have impressive short-term and long-term growth potential. Together they have the ability to generate up to half of YRI’s 10% targeted profit growth over the next four years. Overall, the Yum! Restaurants International business is on-track. We are having a strong year in 2012 and we believe we are well positioned for future success. Our strategy remains to drive aggressive expansion and build strong brands everywhere. Now on to our U.S. business where our ongoing goal has been to improve our brand positions, consistency and returns. Same-store sales were up 6% in the third quarter and year-to-date. In the third quarter, operating profits grew 13% and is up 22% year-to-date. We have structured the U.S. business for more consistent returns and are putting the building blocks in place to build more powerful brands and to sustain our performance going forward. Back in 2008, we began reducing our company ownership levels in the U.S. By the end of this year, we have taken our company-owned restaurants from 3,900 to less than 1,700 therefore cutting our equity units by more than half. We have put our restaurants in the hands of capable franchisees while improving our return on capital in the U.S. business by about four points. We have essentially completed our KFC and Pizza re-franchising. We began one modest re-franchising of Taco Bell restaurants last year although our U.S. ownership will remain skewed towards Taco Bell. We expect to reach our target ownership levels by the end of 2013. At that time, our U.S. company mix will be about 10% compared to the 22% mix we had at the beginning of 2008. As the largest U.S. brand, Taco Bell has been the catalyst of our 2012 U.S. performance. The brand has made great strides with key price introductions at the Doritos and Locos Tacos and Cantina Bell. The good news is that these initiatives not only delivered strong sales this year, but should drive sales in 2013 with new flavor varieties of line extensions to complement our current menu. Our biggest global initiative is driving well class operations and I am pleased that Taco Bell continues to make progress in this arena year-after-year. Taco Bell was just recognized for being in the top two in both drive through speed and accuracy by QSR magazine, a goal that they have been aspiring to achieve for several years. Pizza Hut and KFC have also contributed significantly to our U.S. performance this year. Pizza Hut has been able to stay relative to consumers by combining strong value with its $10 any pizza and salad innovation. This system has also successfully reversed its trend of declining units by introducing a smaller, less expensive delivery concept we call Delco Lite. After 10 years of unit declines, Pizza Hut added 53 net units in 2011 and expects to add over 130 net new units this year. Our franchisees are very excited about these initiatives and the returns that are generating. At KFC, we know we have some heavy sliding ahead of us, but we are stabilizing the business and working better with our franchisees. Our number one focus is to improve our operations. This system is making investments in technology and equipment that can provide a more consistent customer experience. With the successful introduction of Bites and a larger advertising presence, it’s good to see improvement in 2012 in same-store sales and brand profitability. We have initiated supply chain initiatives across our U.S. brands. Thanks to partnering with our purchasing coop and our franchisees commodity costs in the US this year are essentially flat which we believe is below the industry rate of inflation. So when we look across our U.S. business, we are proud of what we are accomplishing this year and we also believe that we are improving our business model. We are building a foundation to deliver growth in 2013 and more consistent results going forward. Now let me hand it over to Pat Grismer, our CFO.
Pat Grismer: Thank you, Rick. To start, I would like to thank our operating divisions for their outstanding third quarter performance as 19% EPS growth excluding special items was led by an impressive 18% growth in operating profit prior to foreign currency translation. It’s great to see each of our businesses deliver such strong results reflecting the resilience of our global brands and business models in uncertain times. As David and Rick have already summarized third quarter results for each of our divisions, I will limit my Q3 remarks to three key items of interest. China restaurants margin, China new unit development and Yum! shareholder cash payouts; I’ll then lay out our expectations for the fourth quarter and share some initial thoughts on 2013. First China restaurant margin; you’ll recall that China margin was down 4 percentage points in the second quarter compared to prior year. As we expected, this trend reversed in the third quarter with margin improving modestly over prior year due to based pricing actions and lower inflation. For the third consecutive quarter, inflation rates fell for both labor and commodities in Q3 coming in at 8% and 2% respectively. This result reinforces our belief that China can sustain a restaurant margin of 20% over the long run. Second, China new unit development; as David mentioned, our China division now expects to open over 750 new units this year. To put this into perspective, I would like to point out that a couple of years ago in 2010; China’s new unit growth rate was 13%. This year, it is 18% on a much larger store base. This is a clear breakthrough in development performance and a testament to the size and scale of our China development team. Of course, in light of these development results, we're sometimes asked whether we are growing too fast in China. The simple answer is that we approach China development extreme rigor, taking care not too let our cash get out in front of our people capability. This development discipline has four key pillars. Number one, we allocate significant resources to China development with a world-class team that is 1,000 team member strong on the ground, finding, evaluating and securing sights. Capability, that is unmatched in China today. Number two, we select sites based on an intermittent understanding of retail development in China, fully informed by our experience with 5,000 restaurants today, a proprietary database that grows in size and sophistication with each passing year. Number three; we evolve our new store portfolio to optimize our returns. For example, shifting development from Tier one cities where store margins are under some pressure to lower tier cities where returns are higher. And number four, as David mentioned, we build a large pipeline of fully qualified restaurant general managers to ensure we open new stores with excellence delivering on our brand promise. This is why we are comfortable with our rate of expansion in China and confident in our ability to sustain high returns and generate significant operating cash from this business which brings me to my third Q3 topic Yum! shareholder cash payouts. We recently increased our dividend by 18% marking our eighth consecutive annual double-digit percentage increase one of only 12 companies in the S&P 500 to do so. With this rate of growth, we’ve doubled our dividend in less than five years while also returning significant cash through share repurchases. This year through Q3, we repurchased shares totaling just over $700 million and we continue to expect at least $800 million in repurchases for the full year. Adding it up, we will return over $1.3 billion to shareholders in the form of dividends and share repurchases this year all while continuing to invest behind new store development and other growth engines. Now I’m going to talk about our expectations for the fourth quarter. In China, we anticipate modest year-over-year margin improvement in Q4 similar to what we saw in the third quarter. This margin improvement and continued strength in new unit development should deliver solid double-digit profit growth for China in the fourth quarter. I’m sure many of you are interested to know how same-store sales are currently trending in China, remember our overlap is two points higher as we move into fourth quarter with same-store sales growth of 21% last year. So we do expect comps to moderate further. Additionally, Q4 is our longest fiscal quarter and with three months remaining in a volatile and slowing economy, sales are tough to predict. At this point, our best estimate is that China same-store sales will be low-single digits to flat in Q4. Now before I talk about YRI and the US, I’d first like to remind everyone that we have an overlapped headwind due to an additional week in our 2011 fiscal year. This additional week produced a $26 million operating profit benefit to YRI and the US combined or over 4 percentage points of EPS growth. This will obviously have a negative impact on this year’s fourth quarter growth. At YRI, we expect fourth quarter same-store sales growth to benefit from the timing of Ramadan reversing the impact seen in Q3. This will contribute to solid profit growth for YRI in Q4 which will be partially offset by the 53rd week overlap that provided an $8 million compared to operating profit last year. In the United States we will see substantially weaker performance in the fourth quarter than we have seen so far this year. There are three key reasons why. First, we will have a headwind that went up $18 million as we overlap last year’s 53rd week benefit. This alone equates to 10 points of profit growth on the quarter. Second, we expect more moderate same-store sales growth than we have seen so far this year in part because we will be lapping our toughest comps from last year. And finally, our year-to-date refranchising of 340 US restaurants will be profit diluted in the fourth quarter albeit shareholder value positive in the long run. In summary for the full year, we are expecting significant profit growth from each of our divisions led by strong sales performance across of our entire business. Therefore, we are raising our full year EPS growth forecast to at least 13% excluding special items marking the 11th consecutive years we are expecting to deliver at least 13% EPS growth. Considering the challenging global economy, I am very pleased with our performance and the overall quality of our earnings growth in 2012. I am also confident that our work this year is setting us up nicely for a solid 2013. We are still in the process of developing detailed plans for our businesses next year and as usual we will provide additional perspective at our December meeting in New York. However, I do want to share some initial thoughts for 2013. First, we are fortunate that our new unit development provides us with head start on building next year’s profit plan and this year’s record level pace of 1,750 new units outside the US provides us with the best development driven tail win we ever had. In China specifically, our current development rate is 18% which is well above the low double digit percentage unit increase our ongoing growth model requires. As system sales growth is driven by both new unit development and same-store sales growth, this year’s accelerated pace of development reduces our dependence on same-stores sales growth in 2013 to achieve China’s targeted profit growth of 15%. Nevertheless, we do expect same-stores sales growth in China next year with our new product pipeline as strong as ever and at about 4 points of pricing as we enter the year. At Yum! Restaurant International, our ongoing growth model cost for net unit growth of 3% to 4%. This year, we will build 900 new units driving net unit growth of 4%. When you consider that India is no longer contributing to YRI’s new units, this effectively amounts to an increase in YRI’s development pace. Our growth model calls for same-store sales growth of at least 2% to 3% of YRI and we look to be on track to deliver this. Additionally, over 45% of YRI’s units are in emerging markets where economic growth is higher than the rest of the world further bolstering YRI same-store sales growth expectations for 2013. In the US our ongoing growth model calls for same-store sales growth of 2% to 3%. As you know, the US had an outstanding year this year and Taco bell is now building up two great new platforms, Doritos Locos Tacos and Cantina Bell. These platforms will be the catalyst for innovation in 2013, driving same-store sales to expected levels. In 2012, we also had net unit growth at both Taco Bell and Pizza Hut and expect this to continue next year as well. And finally, we’ll continue to benefit from our restaurant productivity initiatives, which have delivered significant benefits to our U.S. businesses this year. In conclusion, we have a lot of confidence in our business model and the consistency that Yum! provides to the power of our global portfolio. At the end of 2012, this portfolio will have delivered annual double-digit EPS growth over the past 11 years, even in challenging macroeconomic circumstances and our global brand portfolio has never been stronger as our teams continue to grow and invest in emerging markets and manage cost efficiently. For these reasons, I strongly believe that 2013 will be another year where Yum! will deliver double-digit EPS growth for our shareholders. And with that, we’re happy to take questions Ashley.
Operator: (Operator Instructions) Your first question comes from David Palmer with UBS.
David Palmer - UBS: Good morning and congrats on the quarter and also thanks for the details on this call. You mentioned the China economy is slowing and the fourth quarter same-store sales were at less pricing and that leads you to the low single digit to flat guidance there. Is there anything beyond, in the details of your business and the trends that you are seeing that gives you visibility in terms of where things may bottom in terms of same-store sales and I mentioned that just naturally investors are going to be off balance until they figure our where the bottom in your at least the same-store sales are going to be, is there any sense of that for you in your China business? Thanks.
David Novak: David I don’t know I’ll drill the answer to that. First of all, we’re not economist or we’re not, we can’t we have not really seen or read any news or have any real news that you really don’t have or you can’t read about already and what we do see is clearly that there is an economic slowdown in China which again is not any news than we talked about this the last time. I think the biggest thing that I would want to just point is we’ve been able to deliver consistent results and we’ve been able to do that year-after-year. And I think it’s because our business model is really strong and obviously China even with its challenges is still growing at a reasonable pace. It’s up, GDP was up 7% in the second quarter; it’s expected to be up 8% in 2013 according to the Financial Times and retail growth is supposed to be double the GDP. I think for us, the biggest tailwind we have is just the consuming class continues to grow expected to double in the next 10 years. And you guys read the same stuff we read and look same facts are reported. Personal incomes, the middle class incomes are rising, which is also a big plus. And as you saw, our infrastructure, the infrastructure growth is really continuing to grow at a higher rate. So we’ve got all these new cities and clusters and trade zones coming into play that we’re able to now penetrate. And so I think the big news for us is old news frankly is that we’re really in position to capitalize on what’s going on in China more which is still the fastest growing economy more than any other retail in the world, we have got leading brands, a business model with three year cash-on-cash, the returns, competitive brand positions that are better than they have ever been. We have got unmatched development capability, you have seen our management team in action; they have been together for a long time, gets better and better, and a lot of young talent coming in. We own our supply chain and we are just attracting top talent, I mean the fact that I pointed out in my remarks, we have 10,000 management trainees this year and 2,000 ready to go assistant managers. So, I think, I look at this business long-term, I have to say you know we’re going to have our ups and downs right now, we’re kind of based in a slower economy, but I am always going to be glad, I wake everyday and know that we have a position we have in China and I think as we look to the long terms, we are very confident in what we have ahead of us.
Rick Carucci: And David, what I would add to that is that we’ve clearly acknowledged the same-store sales have slowed down in part because we are lapping extraordinary performance from last year, but also because the economy is swelling. But I also pointed out that given the accelerated pace of new unit development this year, tracking at 18% as we enter next year we are going to be less reliant on same-store sales growth to achieve our 15% profit growth for the China division. So when you add that all up, when you consider the pace of development, when you consider the pricing that we have rolling into next year and the ongoing strength of our new product pipeline, not to mention, the strong people capability as David mentioned, we continue to be very optimistic that we will achieve that 15% profit growth for China next year.
Tim Jerzyk: Thanks. Next questions please Ashley.
Operator: Your next question comes from Michael Kelter with Goldman Sachs.
Michael Kelter - Goldman Sachs: Hi guys, I have I guess two questions. The first one is, how can we be confident in positive China same-store sales in ’13 and as per your guidance when traffic is running negative right now, the economy is still decelerating and you’ll have less pricing rolling through the P&L next year. So essentially what I am asking is what are you seeing that makes you, that makes positive your base case? And then secondly, the accelerated new unit development in China; you talked about why you are comfortable with the pace of opening in the prepared remarks and it all makes total sense. But I just wanted to ask, if you were in fact growing too fast and may be making some mistakes that were being obscured by the near term growth that it provides, how would you know it before it was too late; what are you looking at?
David Novak: I am happy to respond to that Michael and I’ll start with the second piece on development. As I mentioned, we have extraordinary development capability in China. We review the performance of our new units routinely paying attention to every possible operating metric you can imagine and there is extreme diligence around how we manage our new restaurant portfolio including shifting as I mentioned development from the Tier 1 cities of where returns have softened into the lower Tier cities where we have higher margins and our returns are outstanding. So we do capitalize on what we learned from recent new store openings to inform how we manage our pipeline going forward. So there is extreme diligence and vigor around that entire process; regular review by again a team that is very, very experienced and unmatched in capability in China. As for the second question on positive same-stores sales for next year, we do have four points of pricing as we enter next year and depending on how we construct our plan for next year, we may find opportunity to take additional pricing. But at the same time, we are confident in our track record of new product innovation and how we have been able to grow our business overtime we have added sales layers to our business. We're not fully penetrated in all of those sales layers. So as we move those two, 100% penetration and we continue to introduce new product innovation. We're confident that we'll be able to generate eventually the same-store transaction growth along with the check growth that comes from pricing to achieve the same-store sales growth on New Year. Now as we said before, there can be volatility from quarter-to-quarter. So I am talking about a full-year basis when I say that we're optimistic that we will deliver the same-store sales growth in 2013.
Rick Carucci: I think one other really good example on just how we approach development, a couple of years ago, Pizza Casual Dining, our unit economics had slowed down and so we did not expand further. We didn’t move into Tier III, Tier IV, Tier V cities at all. What we did as we went back and the team revamped our business so that we added much more menu variety and we also took our value equation where we went with a eat like a rich man, eat like a poor man approach where we had a great every day value entry pricing, half priced menu, entrees on a daily basis and the transactions and profits just went through the roof. And then we started expanding into three, four and five cities. So, I think that’s a great example that where we really follow our mantra which is don’t get you cash out in front of your people capability and or your business model and we constantly are tracking our performance quarterly with what we call our new unit tracking system as Pat talked about, but that’s a great example of how we look at things. I tell the guys all the time and I’ve said this before, we got a great diamonds, great brands, keep caution don’t grow any faster than we grow. And what’s happening though is that we’re able to grow fast because the opportunities are out there and increasing and we’re able to deal with great returns for our shareholders. So we’re confident that we’re growing the business the right way and I can assure you that the team has been told and from day one we’ve never been chasing a number. The number just keeps getting bigger and bigger than what any of us ever expected. We went into this year with a projection of 600, okay, this was after we did 650 last year. Why was it 600? Don’t grow faster than what we need to, we don’t give, we’re not trying to be heroes, we’re trying to build a heroic business.
Tim Jerzyk: Next question please Ashley.
Operator: Your next question comes from Jonathan (inaudible) with Robert W. Baird.
Unidentified Analyst: Pat just a follow-up question on the restaurant margin outlook for China for Q4. And I’m wondering specifically what your current expectation is in terms of commodity and wage rate inflation?
Pat Grismer: Absolutely, as I mentioned in my prepared remarks, we are expecting modest year-over-year improvement in China margins in the fourth quarter comparable to what we saw in the third quarter but how we will get there will be a bit different. We’re expecting for example, a positive impact from inflation because we expect there will be in fact deflation on our commodities in China in the fourth quarter. And we’re expecting a lower a benefit from pricing as we rollover some pricing actions we took last year. We’re expecting the impact from new store development to be about the same. So when you add all of those factors together, we’re looking at that point of improvement on margins year-over-year excluding the impact of Little Sheep.
Unidentified Analyst: Okay. And I guess one more clarification question just on the expectation for slower China comps in Q4. You mentioned that you’re cycling price and you already recycled some again in November. So I just want to ask and I am wondering specifically on the traffic component for China, how much slow in you expect for that factor in Q4 and then whether or not you have actually seen that materialize yet quarter-to-date?
Pat Grismer: Well, just to recap a little bit. In Q3, what we have with 6% same-store sales growth, we had about a 7% pricing advantage. So as David mentioned, transactions were down about a point. And what we are expecting for Q4 as same-store sales growth of low-single digits to flat and we have about five points of pricing benefits, so that would give you low-single digit same-store transaction declined in the fourth quarter.
Unidentified Analyst: Okay, got it and which you read the pricing as a proxy for overall check growth?
Pat Grismer: Yeah.
Tim Jerzyk: Thanks Jon. Next question please Ashley.
Operator: Your next question comes from Jason West for Deutsche Bank.
Jason West - Deutsche Bank: Just one thing on the modeling or as two things on the China revenue side that did come in a little bit below our total revenue for that segment even tough the comps were better than we expected. So it looks like the new store productivity had slipped a little bit. I don’t know if you can talk about that, what maybe the drivers of that and then just secondly, should we remodeling unit growth in China next year similar to what you are doing this year because I think historically once you step it up, you have kept it at the higher rate, thanks?
Tim Jerzyk: Hey John, this is Tim Jerzyk. It’s hard for us to understand exactly what you were expecting; we kind of give you our best thoughts on that even on the last call. I am not sure what you are expecting for Little Sheep. I know there were some discussions we have had with other analysts about the expectations from royalties from Little Sheep and it was a shorter than what had people expected. So that might be or where we were below what you expected. Our new store productivity has consistently been very much stable over the last five years, six years; it’s about 30% less than our average unit volumes of our business net holding steady for both Pizza Hut and KFC.
Jason West - Deutsche Bank: Okay then on the development side?
David Novak: Okay, in terms of development outlook for next year?
Jason West - Deutsche Bank: Right, so we would be modeling similar unit openings in China for next year that you did this year?
David Novak: Well Jason, we will be providing that guidance at our December Analyst Conference as we had in years past.
Tim Jerzyk: Thanks Jason. Next question please Ashley.
Operator: Your next question comes from Brian Bittner with Oppenheimer.
Brian Bittner - Oppenheimer: Two questions on the US business. Number one, as this big (inaudible) from the Doritos, Locos Tacos somewhat fades a bit at Taco Bell when can we expect you to come out with some more SKU’s to sustain the momentum particularly the cool ranch which is something I am just really excited for and waiting for and then also just a very strong comps at Pizza Hut, if you can just talk about that do you think it is a result of a strong category in the quarter or there are something different you were doing in 3Q to take some significant market share?
David Novak: Well Brian, on the first piece, we are not going to give out the exact date, but we expect to have extensions of Doritos, Locos Tacos in next year and part of the reason we pushed that into 2013 was because we were so successful, it basically used all of our available supply of Taco shelves, but maybe you said coupon right before the positive come out since you are big fan of the product volume as well. Regarding Pizza Hut, we’ve had pretty good success through the course of the last year on the boxes, so our box promotions have been very successful and we use those heavily in Q3 and we will probably continue to go on those going forward.
Brian Bittner - Oppenheimer: But do you think that the category was strong in the third quarter or I mean do you think a large part of kind of the upside in the comp was market share gains because of the box?
David Novak: Yeah, we haven't gone into some of the detailed pieces; I would say we didn’t see a huge - the stuff I have seen, I haven't seen huge changes in overall category in the quarter.
Tim Jerzyk: Thanks Brian. Next question please Ashley.
Operator: Your next question comes from Andy Barish with Jefferies.
Andy Barish - Jefferies: Hey guys, can you talk about the inflation, particularly the food cost commodity side of things. It seems as if there is something more than just the raw material input cost using up a little bit. I wasn’t aware of some of the changes in the U.S. distribution side of things or maybe it's more full priced product being sold, you know, DLT at $1.29 instead of a regular Taco. Can you give us a little bit more flavor or color on sort of that benefit for commodities and maybe an initial look at 2013?
Pat Grismer: Well, I’ll certainly comment on 2012 again any guidance on 2013 will defer to our December Analyst Conference. As far as 2012 is concerned, we have seen significant benefit from what we call our restaurant margin initiatives focused on supply chain efficiencies. And you see that rolling through the U.S., so to recap what our quarterly commodity inflation trend has been in the U.S. Q1 at 4%, Q2 at 1% deflation, Q3 2% deflation, we’re expecting for Q4, 1% deflation so you can see a nice trend there which to your point reflects not only what we’re seeing is a general softening and commodities prices, but the added benefit of the supply chain efficiencies we’re gaining through these initiatives. And that just takes us to flat on commodity inflation for the year, so its market price movement along with advantage we’re gaining through our supply chain initiatives.
Rick Carucci: The supply chain initiative is a good example, but David has talked about quite a bit on some of the previous calls. We’re doing a much better job of sharing, learning between divisions either between the U.S. and international or even within U.S. division. So this is actually initiative that was spearheaded by Pizza Hut that we’ve now taken to the other U.S. businesses and now to other markets around the world. So we have a bottleneck consultant and just looked at how we could be more efficient in some of the supply chain opportunities that we had. And we’re seeing some benefits of that this year and I expect to see some benefits for that next year as well.
Andy Barish - Jefferies: And any guess at selling more full priced product whether it’s Taco Bell or China now kind of lapping the big value platforms that you put in place in 2011 in terms of the benefit of higher gross margins?
Rick Carucci: Yeah, well obviously as you look at what we want to do in all of our brands in the U.S. and around the world, we’re always looking at but what we call menu mix management and you know what you would take for pricing and how do you offer value to the consumers and what prices are your new initiatives. And we have benefited this year to the point that you are making as with Doritos Locos Tacos we think in some cases people are probably trading out of regular Tacos for those and those are priced at a higher level. And as we look at 2013, at least in one of our divisions that I have seen some detail, we probably will have more of our initiatives to say the higher priced items which should help us on menu mix. So we why make sure we could stay focused on core value in some of that main parts of our menu.
David Novak: I think one of the things that we are very pleased about in terms of our competitive positions with KFC, with Taco Bell and Pizza Hut in U.S. is that we are very competitive on everyday pricing basis. Taco Bell is renowned industry leader for price value and Pizza Hut with its $10 large pizza pricing structure that we continually reinforce is competitive on an everyday basis. So when you have that everyday pricing in place, when you come in on top of that with the innovation, you are able to do the menu management that Rick is really talking about. And that's a formula that we are going for all around the world, I mean it’s we believe that low everyday pricing, entry pricing and then you innovate the heck out of the business and I think we do a pretty good job of that.
Tim Jerzyk: Thanks Andy. Next question please Ashley.
Operator: Your next question comes from Greg Badishkanian with Citigroup.
Greg Badishkanian - Citigroup: Great, thanks. Hey, just two quick ones. First is, how much of the China slowdown besides though I say the 200 basis point tougher compare is due more to the economy versus pricing; I mean what do you see as kind of the biggest factor there? And then just on the U.S. side, the Cantina product, it sounds like it’s having some good momentum, is that due to more trading up or you are getting more new customers from that product?
Pat Grismer: On the China comps Greg, it’s really difficult to segment the change quarter-over-quarter into how much is driven by the economy versus the comps and the comp is pretty clear. But we have acknowledged that there has been a slowing trend in the China economy and that’s impacting the retail space broadly and we are feeling some effect of that.
David Novak: Regarding the Cantina Bell products, we don’t have a lot of breakdown mathematically on new customer’s etcetera; it’s difficult to get QSR space. We do have anecdotally as a few things, first of all we are seeing more people at lunch time and that the people who buy Cantina products have higher ticket, which is obviously expected given the price point of the product. So we are seeing sort of that benefits on that products and you know we think that if that’s casual guys, so it taught us a lesson which is that people want in a very high quality even food that are going spend more money if they get speed and convenience and obviously with the distribution that we have in restaurants around the country we are able to do that. And one of the other things that’s great about that product is that our team loves it. First of all, Lorena Garcia the chef who created a very, a professional personality and she has been very visible to the product launches to our chains through videos and personal appearances and the teams just loves serving the product and getting new customers. And the other anecdotal thing I would say is that our products are skewed a little bit more towards lunch and female customers; again that’s anecdotal math behind that, but that’s what we are hearing from our folks.
Rick Carucci: Just a little bit more perspective on China. I think when you think about the economic slowdown in China, think about our business in the context of that because keep in mind; we're overlapping 19% same-store sales growth with transaction growth of 27% during the third quarter of last year. So that’s two years same-store sales growth of 26% and two years transaction growth of 26%. That’s pretty amazing and then think about we’ve added over 750 restaurants. So, I think immediately the economy is slowing down but when you look at our business performance in this environment, I think you would have to say it's the transient in any kind of economic headwind or whatever (inaudible) you would like to use.
Tim Jerzyk: Great. Next question please Ashley.
Operator: Your next question comes from Jeffrey Bernstein with Barclays.
Jeffrey Bernstein - Barclays: Just two follow-up questions. One, I know in your prepared remarks you talked a little bit Pat about the return of cash to shareholders, the balance between I guess repo and dividend. Just wondering one whether you would consider shifting that balance more from share purchase to perhaps pushing the dividend. I know it's currently just South of the 2% yield level and whether or not you would separately consider increasing leverage, obviously with rates where they are today and then just as a follow-up on the US talk about side of things. Just wondering whether you can give any kind of color in terms of the whether be the mix in terms of what you are selling or whether you think early read on (inaudible) in terms of mix or any kind of data points you can provide there. I know everyone focusing on Doritos and (inaudible) but perhaps if you are seeing broader strength that you think would be sustainable beyond those two products, any color would be great?
Pat Grismer: All right. Jeff I’ll address the question on cash payouts. We’re very happy with the mix of cash return that we’re providing our shareholders today. We’re delighted to taken up our dividend by 18% and to be on track to complete another year of significant share repurchases. In our view, this is a good mix. We do look on at our capital structure and determine whether or not a different approach is going to be better for shareholders. At this stage even given low borrowing rates, we don’t think that it makes sense to lever up, to position ourselves to pay either higher dividend or to repurchase more shares. We believe that the strength of our operating cash and the growth in our cash flow year-over-year positions us well to continue to grow our dividend and to continue to accomplish significant with the share repurchases and there are no plans today to shift that strategy. But it is something that we do look at from time-to-time.
David Novak: Regarding your question on mix at Taco Bell traditionally a lot of our product at a particular point time does come from new products that we introduced. The overall Taco mix has gone up considerably so we know that Doritos Locos Tacos piece has been was largely incremental when we launched it. And that’s our total Taco mix is in the mid-teens to low 20s. So we took that up with the launch of the Doritos Locos Tacos. And that part is right now is having about a 7% mix or so. Cantina Bell is about a little under 5% mix right now. And obviously we want to grow that overtime.
Rick Carucci: Those are very high mixes for Taco Bell.
Jeffrey Bernstein - Barclays: Okay.
David Novak: The thing that we just came back from the franchise convention in Colorado, where we were celebrating the [58th] anniversary. I think the people are very excited, the franchises are excited about just the quality, ingredient to upgrade and the fact that we are seeing more up scale consumers and we are seeing more females as Rick pointed out. So this is something I think will build over time. I think one fact what is over 200 million Doritos Locos Tacos have been sold. So this is like, this is prior the most talked about product in our industry right now. I mean and people can't wait for the Doritos. And we really feel like Cantina Bell is just puts us into a whole rein of target and relevant and price value. I mean this product is third of the price for what you get at some of these places. Its two-thirds of the price and consumers recognize us. So we think that overtime.
Tim Jerzyk: Thanks, Jeff. Next question please Ashley.
Operator: Your next question comes from Bryan Elliott with Raymond James.
Bryan Elliott - Raymond James: I guess, I just like to get your thoughts on the sort of reality of $7 to $8 corn for globally for 2013 and what you are thinking about that might mean both for purchasing power of your emerging consumers as well as obviously the cost of goods, so I just, I know you don't want to but make any specific comments about ‘13 but just few general thoughts on that significant issue?
David Novak: Well as you say Brian, it is a significant issue. It is relevant to our business. We will provide guidance at the December Investor Conference but just to provide a little bit of perspective over the years we have seen commodity peaks like this and we have dealt with them. We dealt with them through a combination of pricing and productivity measures and we don’t expect that 2013 is going to be any different in that regard.
Bryan Elliott - Raymond James: Do you see a risk to purchasing power given the percentage of sort of an emerging markets or percentage of income of those new middle class consumers that still goes to food overall potentially being a purchasing power decrease?
Rick Carucci: Nothing material but as you have heard say before in these emerging markets we are continuing to see expansion of the consuming class overall that will more than make up for any impact that might be for the purchasing power as the consequence of the shifting commodity prices.
Bryan Elliott - Raymond James: If I can sneak one more in and the YRI slow down was pretty meaningful from first half to third quarter across broad range of geographies, could you feel that back a little bit and is that average ticket, is it traffic, is it competition reducing increasing the amount of sales may be at about lower ticket or promoted items, just give us a sense of what the competitive landscape is there, how much of it may be competition versus consumer behavior change?
Rick Carucci: I don’t think competition has changed much. So I don’t see that any of the changes is really due to that when you are looking on a total YRI basis, just do want to remind a couple of things that we did talk about is that Ramadan had about 1 point swing for the overall business. So on the emerging market business we said was plus 5% for the quarter, we think it had a 2 point impact; it wasn’t clear from my comments with Ramadan moved forward in 2012, so we expect the bounce back in those markets in the fourth quarter and so far we’ve actually seen that so and we gave Middle East as an example where we had big impact negatively in the third quarter. That will have an impact positively in the fourth quarter.
Tim Jerzyk: Thanks Brian. Next question please Ashley.
Operator: Your next question comes from John Glass with Morgan Stanley.
John Glass - Morgan Stanley: Thanks. I wanted to revisit the China unit opening schedule question again. Two parts to it, one is, I understand you want to be cautious in terms of not out running your resources, but it looks like your history in China there has only been one year in last decade where you’ve opened fewer units in a subsequent year versus a prior year that was a six. So why wouldn’t so another 50 be the new run rate just based on that history and based on your willingness or desire to manage your business in a fairly constant level, but that’s question number one? And number two, and during these periods of rapid expansion or acceleration of unit growth, the question often comes up about new store productivity and the easiest way for us to measure that is just store volumes, not returns because we can’t look at the cost as easily as you can, but just the store volumes. What factors are going to drive and move around the store volumes as we calculate them; in other words, are there in your six tier markets lower volumes, it doesn’t look like from most recent materials, but if they are and then also, would there be brand make shift for example as Pizza Hut home delivery going to be a bigger piece of your unit openings next year and will that change volumes materially for the overall blended. If you can comment on those two, I appreciate it.
David Novak: Yeah John, I’ll respond to the first piece with respect to new store volumes, to your very point, you know, we’ve seen very high volumes in the lower tier cities. So any shift in the mix of development across the tiers is not going to have an impact to new store productivity. And the same would hold for brand mix shift; well, yes, we will be picking up the pace of pizza delivery or pizza home service development overtime; it’s not going to be to an extent, but it’s going to have a material impact to new store productivity. And then as it relates to new unit openings, again, we’ll provide guidance on next year at our December Analyst Conference. Certainly, given the pace of development this year and how we have grown our capability in China to support a new store program of this magnitude, it gives a lot of confidence that we have reached a new level, but we’re not providing guidance on next year’s development at this stage.
Rick Carucci: John, we have our annual operating plan for China in the next couple of weeks and we’ll go into more detail on this. But the message the team is going to be that and just keep building a quality business and the number will be what it is. But obviously, look we’re not building this business to open up 750 restaurants a year. We want to get to over a 1,000 capability. So that’s our – and we want to just keep getting bigger and bigger and better and better, but doing it the right way. So we’ll give you more color at the upcoming meeting.
John Glass - Morgan Stanley: And just you mentioned 1,000 units; over what timeframe do you think you require to get to 1,000 units a year?
David Novak: I don’t know; sometime in my lifetime you know.
John Glass - Morgan Stanley: Okay.
Rick Carucci: I’ll have an answer to that; you know if you’ve followed our company since the very beginning, we’ve never really given a number and never really told people that we’re going to try to get to that. But the whole thing has been build people capability so that we can grow, build the brands. Our brands, what gives you the ability to grow fast is when you’ve got great brands with a great economic model which we do and I think the good news for us is that we still have less than three year cash on cash, cash payback. So we got a great, great business model. And I think that the thing that gives us a lot of confidence is when you can match that business model with the people capability, you can do very amazing things like the team has done this year and I think that, we went into this year with a target I think of 600 and in the previous year, we had opened 656 okay and the number is going to be over 750. I kind of liked that approach to business; I would rather have a number that’s going to force us to go through all the disciplines to make sure that we are doing the right things and then I would like to surprise you, okay, with performance that's the right kind of performance and that's kind of our approach. So everybody has their own models and everybody builds their own kind of forecast and this stuff and we kind of layout what we layout, and you guys can do your own math, but we are trying to run the business on the basis of given our shareholders great returns and at the same time making sure we’re building our brands the right way.
Tim Jerzyk: Thanks John. Next question please Ashley.
Operator: Your next question comes from Mitch Speiser with Buckingham Research.
Mitch Speiser - Buckingham Research: Great, thanks very much and yes, I do have another question on China. I guess maybe, a lot of the questions are alluding to and I’ll ask you in a separate way, is that with unit growth accelerating can maybe give us a sense of what the cannibalization factor may be has been in year’s past and do you expect that cannibalization factor to increase or remain steady or perhaps even decrease just say over the next few quarters? And then separately, just on KFC versus Pizza Hut, if you can give us what the comps were for each concept in the third quarter and it looks like maybe, is Pizza Hut maybe suffering more of a -- or having more of a slowdown than KFC and maybe how we should look at the outlook just given that Pizza Hut as a higher price point if perhaps KFC might potentially comp better than Pizza Hut has been comping a lot better than KFC over the past several quarters? Thank you.
Tim Jerzyk: Yeah Mitch this is Tim. Yeah, by brand it was six for KFC and eight for Pizza Hut in Q3, sorry we didn’t put that in there; that was my call, because it was virtually identical I figured out it wasn’t necessary, but clearly it is, so I’ll be sure to put that in there from now on. Cannibalization, a year in China for the investor conference, I think you’ve got a sense for what we are doing and it think that they basically reiterated what so, where are we getting these additional new units that David was talking about with the 750 versus 600 target coming and 656 last year. It’s really a lot of what [Lily Shay] our former CFO said last December and it was that government is building on infrastructure and they are building out this mega city clusters and we are getting more locations in the lower tier cities; there is more transport hubs which they identified had, identified in the presentation and then also Pizza Hut Casual Dining as we have been saying that’s a new opportunity for us in going beyond Tier I and Tier II and which is what it had been pretty much up until like 18 months ago. We have actually opened up a 170, over 170 over the last four quarters of the Pizza Hut Casual Dining compared to 115 last year and by opening Tier III, IV and V to Pizza Hut Casual Dining that’s basically almost a billion people that now we can add distribution to for that brand versus where it wasn’t before. In terms of the cannibalization, what we had said before was about one and five new stores of KFC had cannibalized in the past up to may be as much as 20% but I haven’t seen anything lately on that, Mitch. I believe that my guess would be the numbers are a lot, is lower. Just because we're building so many more in new cities and we're building so many more Pizza Huts where the cannibalization factor is probably a lot less. So it was a factor maybe, three, four, five years ago but it's not really that much of a factor today and what it looks like.
Mitch Speiser - Buckingham Research: I am sorry if you could just maybe just comment on the Pizza Hut comp versus KFC in terms of, it looks like Pizza Hut might be slowing on a year-over-year basis and maybe a faster pace than KFC, is that something that do you think we should expect given that the ticket is higher or is the fact that there is less competition for Pizza Hut that the out performance of Pizza Hut can continue or you think it can continue when you look at the outlook?
Tim Jerzyk: You know, I think for one thing, we can give more color but just to give you a little bit of a background on that, I think Pizza Hut had 11 straight quarters of double-digit same-store sales growth coming into this quarter and it's lap was even more significant than KFC in Q3, it was lapping like 30% growth over the past three years. So, yeah it just slowed down, but I mean those are still big numbers and I think importantly for us, which is what we’ve been saying, it moves that brand into a very growth oriented position or now we can really grow this with great economics at least equal to KFC and the average unit volumes are comparable to KFC. So it's plus eight but it's lapping some big, big numbers over the last three years. Thanks Mitch. Next question please Ashley.
Operator: Your next question comes from Joe Buckley with Bank of America.
Joe Buckley - Bank of America: Thank you for bearing with us. A couple of questions on China and then one on food cost. So in China did the timing of the openings very much this quarter with a very backend loaded that would be my first question. And then secondly, the transaction count decline presumably it includes the benefits of breakfast and delivery in 24 hours. So when the core dayparts how significant with the transaction count decline. And then just a last one you talked about 4% pricing in China going into 2013, if food costs are moderating and if you’re expecting to continue to moderate at least in the early part of next year, what sort of the rationale behind the pricing even so after transaction counts?
Tim Jerzyk: Joe, I’m happy to respond here. In order starting with in the timing of openings, I don’t know that the distribution of our new store openings this year is any different or materially different from last year. But with respect to the transaction decline I don’t know what it is for core dayparts when you strip out the new sales layers. I really can’t respond to that question. And then finally with respect to next year’s pricing versus inflation, as I said in my remarks or in a response to another question that we could take pricing next year there are no, there are no definite plans at this stage to do that. You are right that given what we’re seeing by way of commodity deflation in China in the fourth quarter those trends will likely persist into at least the first half of next year. So we’ll provide more context to you at the December conference in terms of our views on same-store sales and how much pricing and when we might take it. But the fact is that the new pricing strategy that we implemented over the course of Q2 and into Q3 is one the China team is very happy with that increase the level of sophistication and we are able to go and segment their market and determine variable pricing and that will likely continue into next year.
Pat Grismer: Joe, on the transaction piece, just one point on that when I looked at the daypart mixes they didn't change. So while we don't have what the core was, it doesn't look like it was something in particular related to any particular daypart or core, that’s the best I can tell from what I have seen.
Tim Jerzyk: Thanks, Joe. Next question please Ashley.
Operator: Your next question comes from R. J. Hottovy with Morningstar.
R. J. Hottovy - Morningstar: I just had one quick question and its kind of an ancillary question to the unit development growth that you are planning for the next couple years. How comfortable are you in terms of the unit growth with what we have seen in terms of bank and potential constraints for franchise financing right now. Just I wanted you to take on kind of the overall data on financing the franchisees at this point across YRI and potentially China as well? Thanks.
David Novak: Yeah. And we haven't seen any issues of getting access to credit for our international business, a lot of our international franchisees are pretty big players and they have been in the business for a while. So a lot of their growth they are able to fund through existing cash flows as well, so we don't see that as (inaudible) in anyway to our growth going forward.
Tim Jerzyk: Thanks, next question please Ashley.
Operator: Your next question comes from John Ivankoe with JPMorgan
John Ivankoe - JPMorgan: Obviously, you guys have demonstrated I mean so much success in emerging markets and more examples necessary you mentioned China being the highlight. But then we look at developed markets, and so I wanted to really relate these two points as last year we talked about may be talking talk about refranchising being more down than what it had been in previous years, we are obviously success with the brand this year and it looks like talk about refranchising is all but about the stock. So of course the question in the US is one I put Taco Bell in the hands of franchisees when the economics are so strong and allow them to grow and develop the brand as really as franchisees can and then secondly, having been with McDonalds recently in Europe and studying their markets every year, the demographics in the competitive markets of France and especially Germany will repeat this being very good by a lot of people so I mean why not take that risk and put it solely in the hands of franchisees and pursue a rental model with all and in other words why not you pursue development in continental Europe on the peer capital way franchise model versus directly or indirectly investing your own capital?
David Novak: Let me then make sure I have the first part of this right and I will clarify my comments on refranchise. In the US we are basically done with our hitting our targets for KFC and Pizza Hut which we say we wanted to get down to about 5% ownership level in both of those brands and we are close to those, we will be close to those numbers actually now. On the Taco Bell side, our goal was to take the Taco Bell ownership level down from sort of the low 20’s to about 60% by the end of next year. We are continuing along that path. So we have been doing modest refranchising for Taco Bell over the last year and a half we will continue that over the next year and half. So that’s what we are doing on the US side. Regarding the question on France and why would we pursue the business rental model versus franchising; the first piece of that we really did is that was delayed to get growth. When we were looking at France, the unit, the great news about France is that we have highest average volumes in the world. The bad news about France is its very expensive. So not that many franchisees, who, when you had the brand that was new in the market, you know, had several million dollars that they were able to put down on a new unit and what we found as we started the business rental model is we’ve been very pleased with the quality of the franchisees. It is we maybe didn’t have as best to as much capital what was required there. So we found that we were happy with the way the restaurants were being operated. We believe we could have a big business there from an opportunity standpoint that we talked about before and you know we believe that we’re having the right level of case of growth there. So we feel pretty good about how things are developing in France and we do have a few franchisees over there at the beginning and they are doing some growth at new units, but we expect a fair amount of our development to stay in the business rental model.
John Ivankoe - JPMorgan: And if I can ask Rick, in Germany, which is you perceived is being the more, competitive global QSR market, and might there be a shift you know overtime in both of those markets, to your pure franchise model when the franchisees get established and the economics get to be more proven?
Rick Carucci: We’ll always look at what we think the right mix is between company; we will probably have all three there. We have some company ownership; there we have the business rental model and we have straight franchising. We probably continue to have the blend, continue to look at that overtime, but right now we're pretty happy with the current mix that we have.
David Novak: And maybe things for us, you know, on this John is how little of a business we have there already; I mean yes, we have now economics that we think are scalable. So I think that what we try to do is we try to learn from each other and we also try to learn from competition. And I think McDonalds has shown us that the business rental models are where you can expand with good returns over the long-term in continental Europe and I think we’ve gone to school on that model and we think it can work for us. And the good news for us is that we’re just, we’re really ground floor; we’re ground floor on this. And we have a capital monitoring system that we put into place and I’m sure we’re going to monitor the unit economics. It’s something says that we shouldn’t be going that way we can always pullback. But right now we’re really talking about our business, it’s pretty insignificant that we think can become very significant and I think that’s the real point for our shareholders. I think it’s upon us to really do whatever we can as Rick said to really grow the business and we think that the business rental model unlocks that growth for us and held a lot faster than if we were just working with the pure franchise business. Given where we’re at, at such an embryonic stage and as to your point earlier is that if things change down the road, we can always look at the mix of our ownership. That’s something we’ve done throughout our history and I think pretty well.
John Ivankoe - JPMorgan: And with respect, there’s an interesting contract is, okay I understand. Thank you.
Tim Jerzyk: We cannot give more colors and sorry. Next question please Ashley.
Operator: Your next question comes from Sara Senatore with Sanford Bernstein.
Tim Jerzyk: We have only time for one question from you Sara. Sara?
Operator: And she has (inaudible).
Tim Jerzyk: Okay, one more question please.
Operator: Your next question is from Keith Siegner with Credit Suisse.
Keith Siegner - Credit Suisse: Thanks; a question for you either Pat or Rick. Can you please give us an update to the status of the efforts to sell the Pizza Hut UK business, and then just add to the little bit, does your guidance for what company restaurant margins at YRI might look like post site divestitures still remain intact especially given the strong margin performance of YRI this quarter, thanks?
Pat Grismer: Yes, we are in very active discussions with a buyer for the business and we remain optimistic that deal will close by the end of the year. And as we said before we expect that will or when we complete that refranchising that YRI will see two points of margin improvement. Now, you know how these deals go and it’s possible that the deal could slip into early part in next year but we are optimistic that we will see close by the end of the year.
Rick Carucci: Yeah. As Pat said, we are in active negotiations where we believe it will close this year but we are going to have the right deal. So if slips into next year, we are okay with that too.
David Novak: Okay. Thank you all for being on the call. So let me rap up the Yum! Story overall, we are having another solid year and we are raising our full year EPS guidance to at least 13%, 11 straight years of least 13% EPS growth it’s something that we really proud of, with record international unit development, we are confident on our future growth as well. So as we look at 2013 we are confident of our international businesses that are set up for continued growth and our US businesses on more solid putting to drive more consistent results going forward. We have track record to prove how powerful our growth model is, with the expected opening of 1,750 international units this year and our strategies in the based business, we definitely feel we are in good position for next year and expect to continue our track record of double-digit earnings growth in 2013 and beyond. We got our December analyst meeting coming up Investor Conference and we can’t wait to sit down and talk to you about how we are in the ground floor of global growth China and a whole lot more. So, talk to you soon thanks.
Operator: That concludes today’s conference. Thank you for your participation. You may now disconnect.